Operator: Good day. Thank you for standing by. Welcome to the Canada Goose's Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Patrick Bourke of Investor Relations. Please go ahead.
Patrick Bourke: Thank you, and good morning, everyone. With me are Dani Reiss, President and CEO; and Jonathan Sinclair, EVP and CFO. After prepared remarks from Dani and Jonathan, we will take your questions. These will be limited to one each to allow as many as possible to ask questions within the allotted time. This call, including the Q&A portion, includes forward-looking statements. Each statement, including, without limitation, discussion of our financial outlook, is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Certain material factors and assumptions were considered and applied in making these forward-looking statements. Additional information regarding these forward-looking statements, factors and assumptions is available in our earnings press release issued this morning as well as in the Risk Factors section of our most recent annual report. Documents are also available on the Investor Relations section of our website. The forward-looking statements made on this call speak only as of today, and we undertake no obligation to update or revise any of these statements. Our commentary today will include certain non-IFRS financial measures, which are reconciled in the table at the end of our earnings press release issued this morning and available on our Investor Relations website. With that, I will turn the call over to Dani.
Dani Reiss: Thank you, Patrick, and good morning, everyone. Thank you so much for joining us today. I'm happy to be here today to discuss our results and share highlights. Our momentum has continued, putting us on track to exceed $1 billion in annual revenue for the first time ever. This is driven by the strong foundation that we have built and by our continued execution. We had a strong financial performance in the third quarter. Total revenue increased by 26.5%, excluding temporary PPE sales from last year. DTC led the way in its largest quarter, up 49%. We had a sharp improvement in store performance relative to last year, alongside continued digital growth. This flowed through to significant bottom line growth. Adjusted EBIT margin expanded 200 basis points to 35% and adjusted EPS increased 41% to $1.42 per share. In the later stages of Q3 and into Q4, a new COVID outbreak and related restrictions have impacted revenue growth and retail traffic in both APAC and EMEA. As a result, we have revised our outlook for fiscal 2022, which Jonathan will cover shortly. We view these new disruptions as temporary. And in the case of APAC, we've already seen sequential improvement in the past two weeks. While today's environment presents challenges, we remain confident in our long-term trajectory. Our unique platform and our brand momentum give me confidence about the future. And I'd like to talk on a few highlights that speak to this. Our Made in Canada operations are an asset in today's dynamic operating environment. We have not had any material revenue or margin headwinds relating to supply or shipping constraints this winter. Looking forward, we are confident in our inventory position going into fiscal 2023 and we're confident in our ability to navigate inflationary pressures. As I mentioned earlier, our global digital business has continued to see strong growth, building on the solid gains that we made last year. North America was a standout, having launched our new e-Commerce site in the region earlier this fall. We've been very pleased with the enhanced customer journey and increased conversion that we've realized. We will continue our phased rollout globally in FY2023. We are building an enduring global lifestyle brand and expanding year-round roles. I'm proud of the dedication our team has shown delivering against this objective, and we are encouraged by the results that we are seeing across the business. This quarter, non-parka revenue grew by 75%. We are seeing tremendous success across our expanded offering. One highlight I'd like to touch on being our pastel collection, our first full expression of the Canada Goose lifestyle, including sweat, outerwear, accessories and footwear. The collection resonated particularly with women, and we plan to expand this offering later this year. Another milestone from this past quarter was the efficient launch of our first-ever footwear collection. The collection has driven excitement demand and a strong response from consumers. Looking forward to our spring collection, we will launch several new styles, growing our year-round relevance. There is so much potential within footwear, both in the near and long-term, and I look forward to continuing to update you. Innovative collaborations are hallmark of our brand and a massive driver of brand heat. In December, we evolved our annual collaboration with concepts with the addition of renowned Japanese fashion brand, BAPE. The response was incredible and the collection sellout within days. And tomorrow, we launched our second annual capsule collection with NBA All-Star as part of our multiyear partnership. This year, we teamed up with Salehe Bembury as our guest designer for the collection. Bembury is one of the world's most innovative designers today and the collection has received outstanding interest presale. I look forward to seeing our brand in Cleveland next weekend. Finally, we continue to make the future our responsibility. Our HUMANATURE purpose platform guides everything that we do and it's underscored by our purpose, to keep the planet cold and the people on it warm. Last month, we launched our first HUMANATURE collection. The collection demonstrates how quickly we are scaling innovative and environmentally responsible materials into our product assortment. The collection is made with 100% recycled nylon, responsibly sourced down and uses undyed fabric, significantly reducing the chemical impact of the collection. This is only the beginning, and I look forward to updating you on our continued progress on this front. And with that, I'll turn it over to Jonathan to go over the details of our financial results and outlook.
Jonathan Sinclair: Thank you, Dani, and good morning, everyone. Thank you for joining us. We delivered a strong performance in the third quarter, with revenue and earnings well above pre-pandemic levels. Brand momentum was exceptional, and our DTC-led distribution was highly productive. With a one-of-a-kind supply chain, we fulfilled peak demand without material constraints or profitability impacts. Following new COVID-19 variant outbreaks, we have seen lower-than-expected revenue growth and traffic in Asia-Pacific and in EMEA at the end of Q3 and into the current quarter. This has been partially offset by outperformance in the United States. We believe that these disruptions are temporary and contained. Our operating environment remains more favorable than it was last year, and we're making great progress on our strategic agenda. Looking at the quarter in detail, total revenue increased by 26.5% to $586 million, excluding the impact of temporary PPE sales last year. As fiscal 2022 is a 53-week year, the additional week in Q3 provided $40.9 million of revenue. In the quarter, DTC led the way, increasing by 49% to $445 million. Higher revenue from existing stores, e-Commerce growth and retail expansion were all significant contributors. Retail productivity improved sharply alongside 28% digital growth on top of last year’s outsized gains. This is a great proof point for the channel and for our brand in our most important quarter. As planned, wholesale revenue decreased 15% to $137 million. Throughout the year, we’ve spoken about a normalization of timing with the shift back into Q2. This was driven by partners requesting shipments earlier. Stripping away these ships, our expectation of mid-single-digit growth annually has not changed. We are finishing the full winter with significantly higher sell-out than last year, and we’re excited to build upon this in fiscal 2023. From a products perspective, our year-round lifestyle relevance continues to grow. Total non-parka revenue increased by 75%. Vests and lightweight jackets with standout performance alongside encouraging contributions from apparel, headwear and footwear. Parkas also grew strongly. Geographically, certain markets have slowed down, while others have accelerated. These shifts have been in line with the new variants and restrictions, and they reflect broader industry trends. In Mainland China, DTC revenue increased by 35%. Following a very strong November, we observed a slowdown in store traffic in December, which carried through into the current quarter. Underlying demand remained strong, highlighted by the low 60s growth rate we achieved online. We’ve also seen sequential improvement in our retail performance over the last few weeks heading into Lunar New Year. Revenue in EMEA increased by 16%. Like Asia Pacific, it grew at a meaningful but interrupted pace. The absence of international traffic has been a headwind for major global shopping destinations like Paris and Milan. The restrictions and disruptions have also emerged in markets like Germany. None of this changes are long-term conviction in the region and its upside in a recovery. On the other hand, North America has accelerated. In Canada, revenue growth was 32%, excluding temporary PPE sales last year. E-commerce increased in the low double digits, together with much improved retail performance. Being fully operational provided an incremental uplift as we face closures in Ontario and Quebec during this period last year. Revenue in the United States increased by 26%. Our established retail stores were all near or at pre-pandemic levels, and digital growth was in the high 30s. This highlights the upside of other regions when retail traffic normalizes. Remember, too, that this performance was almost entirely driven by domestic demand. Moving on to gross margin. DTC came in at 77.1%, while wholesale was 50.2%. Excluding temporary wage subsidies, both are slightly up versus last year and well above two years ago. We have a long track record of funding new product and cost increases without margin compression. With our successful lifestyle eclosion and a more inflationary environment, our algorithm is now even more valuable. Total SG&A was $184 million, up 27% from last year. As we’ve discussed throughout this year, we plan to slow down SG&A growth and expand profitability in our peak selling season. Adjusted EBIT margin expanded 200 basis points to 35.3% and adjusted EPS increased 42% to $1.42. Finishing with our revised outlook for fiscal 2022, this reflects lower revenue in Asia Pacific and EMEA in the current quarter. We now expect the following ranges for our key metrics. Total revenue of $1.09 billion to $1.105 billion. This assumes approximately 68% DTC mix with 6% to 7% wholesale revenue growth. Adjusted EBIT of $165 million to $175 million representing an EBIT margin of 15.1% to 15.8% and adjusted EPS of $1.02 to $1.11. At a macro level, this outlook assumes no material increase in pandemic or economic disruptions relative to what we’re experiencing today. Backing out our year-to-date results with one quarter left in the year, our annual outlook implies the following revenue levels for the fourth quarter. Total revenue of $215 million to $230 million. This represents slightly positive year-over-year growth. Relative to the comparative quarter, this 13-week period starts a week later. What that means is it’s shifting one week from a high-volume trading period, which represented $40.9 million in total revenue this year. In contrast, the extra week in the shift at the end of this fiscal period is not meaningful from a revenue perspective. This assumes approximately 84% DTC mix with slightly negative to flat wholesale revenue growth. In Q4 of last year, e-commerce growth is a high watermark of 123% due to closures and late demand timing. We expect e-commerce to normalize and be largely in line with last year with a fully operational retail fleet, playing a much larger role in our DTC growth. The temporary reductions we have faced do not change our optimism for fiscal 2023. We will share our views at year end in detail. As we see it today, there is no reason why we can’t have strong growth and margin expansion even without a full retail recovery globally. Our DTC journey continues. Our brand momentum is robust. Our lifestyle relevance is expanding. Our one-of-the-kind supply chain and our pricing power gives us stability and flexibility in a disrupted retail environment. I look forward to updating you on our plans on our next call. And with that, I will pass over to the operator to begin Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Oliver Chen from Cowen. Your line is open.
Oliver Chen: Hi. Thank you. [Technical Difficulty] Q4, what are your thoughts on store traffic regionally and some of the assumptions you have there? Would also love your view on marketing spend and marketing spend as a percentage of sales in the longer-term? And how you’re evaluating that opportunity? And then finally, it’s encouraging. You’ve seen higher sellout in the wholesale channel. Just would love some of the drivers there and what it means for your forward inventory planning? Thank you.
Jonathan Sinclair: [Technical Difficulty] of reduction in what we’re expecting is around 60% in Asia and 40% in EMEA. And what we’re seeing in North America is very much maintained, and we’ve got continued momentum there. I think when it comes to marketing, we are always very deliberate about our investment in marketing. We have continued with a sort of a level that’s at the higher end of what people typically invest. We keep it constant as a percentage of revenue, and we see no change in that over time. So when it came to wholesale, obviously, we’ve had a very positive set of demand circumstances. We’ve enjoyed very strong demand at the consumer end. The channel is healthy. We’ve seen very strong unit growth and value growth in the retail performance of the wholesale client base.
Dani Reiss: Yes. I’ll just add to that our wholesale business continues to be very important to us. This year, it was a more typical year and more of our revenue came in Q2 and our sell-through is very strong. So we’re very encouraged by this very strong sell-through. We were very encouraged to see this category to continue to grow and drive enrollment and revenue for us in the future.
Operator: Thank you. Our next question comes from Jonathan Komp from Baird. Your line is open.
Jonathan Komp: Yes. Hi. Thank you. I want to ask on margin. If I could maybe first just clarify that decrease to the margin outlook for this year. Is that all sales deleverage or anything else going on? And then maybe more broadly, as you think to the pathway back above 20% operating margin beyond fiscal 2022, anything changed with your outlook there? And maybe just if you could clarify some of the main drivers of margin expansion going forward?
Jonathan Sinclair: Sure. Thanks. I think as we often do, we make our SG&A growth investments typically very front weighted in the year. And then as we get into the peak season, that’s when we see the profit delivery and the margin expansion. And then the first – fourth quarter here, as I’ve said before, was supposed to be a major driver of margin expansion. Timing this year was unfortunate, and it’s magnified the impact, therefore, of our most recent disruptions. With the current disruptions, we have lost the sales leverage. And there is a very much more limited thing that we can do on the cost side. To be absolutely clear, this is a sales traffic store – retail traffic story that’s impaired revenues and, therefore, depressed margin. And as a result, we’re in the mid-teens for the year relative to the mid to high teens range that we’ve been talking about throughout the year. Now as we look in terms of fiscal 2023, we see no reason why we can’t expand margins significantly more than the current year, even in this environment. We’ve got pricing power to manage cost inflation. Our DTC productivity critically is improving, and the U.S. has already shown us the upside of a more fulsome retail recovery.
Dani Reiss: I’ll just add to that what Jonathan said, longer term, as retail restrictions and traffic normalize globally, we completely – we intend to recover and we see ourselves eventually going beyond pre-pandemic levels. To Jonathan’s point, it’s completely a traffic story and traffic will come back.
Operator: Thank you. Our next question comes from Ike Boruchow from Wells Fargo. Your line is open.
Ike Boruchow: Good morning, everyone. Jonathan, I apologize you were cutting in a little bit or maybe just back on Oliver’s question around regional performance. I just wanted to understand a little better the guidance reduction on DTC is around $75 million, which is a lot for a smaller quarter in 4Q, so clearly, there is some regional dispersion, which I think you’re talking about APAC and EMEA. Could you maybe just give us a little bit more detail on what levels of productivity you’re expecting in 4Q by region? North America sounds pretty healthy, but it sounds like it’s pressure there. Just kind of parsing that out, might tell us – understand it globally.
Jonathan Sinclair: Yes, absolutely. Very happy to do so. To start with the bright spot, U.S. is actually now within very close striking distance of pre-pandemic levels and I underscore that’s without meaningful international traffic. Our highly productive stores in Canada are a bit behind, but they’re much improved from last year, and they’re definitely moving in the right direction. Asia Pacific was a standout for retail recovery last year, but it’s taken a few steps back with the new outbreaks and restrictions that we’ve been dealing with this year. In general, EMEA is furthest behind in retail normalization currently. But overall, globally, it’s important to note that we’ve seen much stronger traffic this fall/winter than we did last year and we are convinced that these disruptions are temporary.
Operator: Thank you. Our next question comes from Michael Binetti from Credit Suisse. Your line is open.
Michael Binetti: Thanks for the questions here. I wanted to ask just about the early framework to think about for 2023. Maybe just some help on what you see as far as the revenue pressures you see in total for this year in 3Q and 4Q, that should be transitory as we try to think about how much you should be able to reclaim or the – how to think about how much the compares are easy as we think about next year because of what you think is transitory happening right now? And then on profitability. On the gross margin, I think the non-parka categories were a bit of an impact to the gross margin this quarter. I would assume that, that the mix of non-parka keeps evolving next year as you push into some of those other categories and boots certainly. Maybe how we should think about that as the run rate of the headwind on the gross margin just as we go forward. And then just to follow Jonathan’s question earlier, is it – I know you’ve spoken to EBIT margins much higher even than the 20% over the long term for the business. Is it not appropriate to think of 20% plus is the EBIT margin for 2023 at this point?
Jonathan Sinclair: So I think – thanks, Mike. I mean there’s quite a lot in that. So let’s take it in the sequence in which you asked. The first is the framework for 2023. There is no doubt that we’ve still had impaired traffic this year in our stores. And that, therefore, gives us a softer base for next year. And assuming that we can see the continued normalization of traffic, that clearly gives us an opportunity for growth quite apart from the organic growth that the business should generate in any event, both through its existing network of stores and wholesale accounts and so on as well as the continued development of the retail network and our technology so – in terms of online and omni. So we would – we feel very good about the platform for next year and we think that that should act as a springboard for growth. Now turning secondly to gross margin, you’re right that more – our margins are inevitably higher in our parka category. And therefore, as we develop our non-parka business those margins initially are somewhat low. The fundamental part of our margin algorithm, though, is that we create tailwinds and headwinds so that we keep the gross margins in balance, particularly at a channel level. So therefore, we believe that what we’ve said historically, which is mid-70s gross margin for the DTC channel, mid to high 40s for wholesale, is what we should expect to see over time. And our view on that has not changed. Management’s job is to keep it in balance, and we believe that we’re demonstrating that we’re able to do that. I think when it comes to EBIT going forward, I’ve said before, there’s no reason why we shouldn’t be expanding margins significantly more than we did this year, even in this environment. And whilst it’s too early to give specific numbers for next year, you’ve heard me talk about the fact that we expect our EBIT margins to move above 20% and towards 30% over time, and that view has not changed. We’ve got a very strong underlying earnings model here. It’s just that this year is affected by temporary distractions to the retail traffic.
Dani Reiss: Yes. And to add to what Jonathan said at a very high level, we are very optimistic for next year and beyond. We continue to be – we have consistently grown and demonstrated meaningful growth over the past few years, and we see a nice – personally, no reason why that will not continue into the future. We’ve demonstrated that we can operate a profitable and a growing business in an impaired environment. And when – and such time when traffic returns, we see it as an even greater accelerator to that growth.
Operator: Thank you. Our next question comes from Omar Saad from Evercore. Your line is open.
Omar Saad: Good morning. Thanks for taking my question. I wanted to ask a little further detail on Asia and China and maybe put a finer point on the deceleration and some of the soft traffic you’re seeing there. What is COVID-related? Are there other effects going on in that market? Any lingering effects from the PR kind of consumer watchdog issue that had you guys there? And then in the last two weeks, I think you mentioned the last two weeks, it’s picked up. Are you seeing that pickup in correlation with easing of COVID restrictions? Do you have a view on China post the Winter Olympics? Do you think things will open up even further there? Would love just a little bit more detail on your – what’s happening in that market, what’s affecting your business and your outlook. Thanks.
Dani Reiss: Sure. Thank you for your question. We are very confident about our business in China. The primary story in China at the moment is COVID-related and restrictions-related, which impaired traffic to stores. And that’s the biggest story in China at the moment. I’ll point out that our online business in China was up over 60% in the last quarter, which is really important to note and is a very good sign of consumer demand for our products in China. We are very optimistic and bullish about our future prospects in China. We have a lot of runway left there and we intend to continue to grow in China meaningfully for years to come. And hopefully, the global climate changes soon and traffic returns to pre-pandemic levels.
Jonathan Sinclair: As I said in my prepared remarks, we’re seeing that traffic build week over week at the moment. It’s been very encouraging. I think there are a number of factors going on in China at the moment, whether it’s around COVID, but also right at the moment, obviously, the Olympics are underway in Beijing. We have assumed a more normalized trend in Asia for the remainder of the year based on what we’ve been seeing, and that’s embedded in what we’re saying here. And we feel fairly confident about it. I think the other thing is to think about the way in which our business evolves, typically, January is bigger than February, February is bigger than March. And therefore, the swing factor that’s embedded in how traffic becomes more volatile than the remainder of the year becomes less significant.
Operator: Thank you. Our next question comes from Adrienne Yih from Barclays. Your line is open.
Adrienne Yih: Great. Thank you very much. A couple of questions here. I guess, I’m going to say on the China topic. How should we think about the China segment margins? And specifically, what percent is coming through e-commerce versus stores. And what does the EBIT margin look like relative to the other regions, the other regions? And then, Jonathan, I want to dig into the product margin, specifically the merchandise margins, you talked about puts and takes. Obviously, the AIR is going to be a net positive. What do you look – what is cost inflation? So what is the current rate of cost inflation because you don’t have container or shipping coming from the Far East? I’m just curious, how much are you raising prices to offset cost inflation? Thank you very much.
Jonathan Sinclair: That’s great. Thank you. So China margins typically are robust, certainly at the gross level. And that reflects the fact that we follow the global pricing metrics around the world, and that’s a well-established pattern for us. I think, generally speaking, therefore, we enjoy good levels of productivity. And therefore, the stores are profitable and very good alongside a strong contribution from our e-commerce. And from an EBIT margin standpoint, first of all, the stores and the online in normal times are about the same. The China EBIT margin in and of itself is a little bit more depressed than the other regions because it has embedded in it the operating costs of our partnership with ImagineX, which fall in SG&A. And so although, there were very strong underlying margins, there's a supplementary cost that's been there in the region since day one. When it comes to our product margins, we are not facing huge input cost inflation. We do get input cost inflation. We've been unique in the world if we weren't getting that. But it's not that high. Low single-digits typically is what we're seeing. And we do have some freight costs either because we’re moving product, we're buying raw materials and bringing them in or because we're shipping our product out. And those – the inflation in those types of cost is pretty much in online variances. We do have pricing power as a brand. And that's been there for years. And as our DTC network grows, it means that we have a very robust and sophisticated understanding of price elasticity which means that when you do move prices, you're able to understand the impact on volumes, and therefore, it's very surgical. So in that context, we've been able to raise our prices, generally speaking, in mid single-digits. You tune it up as the year goes along. This year has been no different. And we've been able to make sure that pricing is sort of an obstacle in the brand.
Operator: Thank you. Our next question comes from Meaghen Annett from TD Securities. Your line is open.
Meaghen Annett: Thank you. Good morning. Looking at the brand equity by region, can you talk about the brand positioning in each of your key geographic regions? And has that shifted throughout the pandemic at all? Are you seeing increased competitive intensity in any region in particular that might be worth noting? And if you could make any comments on what you're seeing from new maybe relative to existing customers, that would be helpful? Thank you.
Dani Reiss: Yes. Thanks for your question. I think our brand equity, we're seeing the brand equity across all of our markets is very strong. Front of the share of mine that we capture in all markets is growing, especially among the young consumers, a lot of this brand awareness, brand heat is being driven by our – some of our collaborations that we're doing. Coming up soon as our collaboration with the NBA, for example, when we collaborated with Salehe Bembury and that some of that is already sold out to our base camp community early. And yes, so we're very encouraged by what we see from a brand awareness and desirability perspective in all I'd say, three of our geographic markets, both objectively and relative to our competitive set.
Operator: Thank you. Our next question comes from Mark Petrie from CIBC. Your line is open.
Mark Petrie: Hey, good morning. I just wanted to ask about store sales productivity. I know there's a lot of noise. But just curious, any comments with regards to how sort of the fiscal 2021 and fiscal 2022 store cohorts are performing versus some of your older stores? And I guess, specifically in China, if you can share any comments there? And then what's a reasonable expectation just with regards to store growth in fiscal 2023 and then longer term network potential?
Jonathan Sinclair: Yes. Thanks. Our store productivity, when it comes to looking at the new cohorts of stores, we've been very pleased with the stores that we've been able to bring online in the last couple of years. To be honest, it's quite good to be a buyer in a seller's market, and therefore, we've been able to pick up some really interesting property, whether we're talking Southwest Plaza in the U.S. or whether we're talking about stores that we've opened in Germany or one of the stores we've opened in China. We've been very pleased with how they've taken off. We're still very early in the development of our network because we're in the 40-odd store zone and that's not huge in a sector where there are plenty of people with stores well into three digits. So we see plenty of opportunity for growth in the network. We've always said that we're never going to be a brand with hundreds of stores. We stand by that. But I think you can also see that we are opening stores in the high single-digits to around the 10% mark and have been doing that for a couple of years. No reason why that shouldn't continue. And that will take us up towards a number approaching triple-digits. [Technical Difficulty]
Operator: Thank you. Our next question comes from Brooke Roach from Goldman Sachs. Your line is open.
Brooke Roach: Good morning and thank you so much for taking my questions. I wanted to follow up on Meaghen's prior question about brand equity and competitive positioning. I'd love to hear a little bit more about how you see the competitive environment in China broadly and perhaps the actions and marketing initiatives you have in the Chinese region to improve your customer connection and increase your moat around the brand in that marketplace. Thank you.
Dani Reiss: Yes, thank you for your question. Our brand equity in China, specifically, what you're asking about is we see as being quite high, the demand for our products there is high. It's – China is a really large market, and there's room for lots of brands there, and there are lots of brands both international and domestic. And amongst those brands, the demand for our brand is very strong, and we see that in all of our market research that we do in China. In addition to that, I think it's very important that as an international brand that we also market specifically to China for China. So we have a team on the ground in China marketing, our entire team, including our marketing team is on the ground in China. And marketing to our consumers there, along with collaborations that we do in market with local designers and – in that way, we continue to keep the demand for our brand from our Chinese fans very high.
Operator: Thank you. Our next question comes from Brian McNamara from Berenberg Capital. Your line is open.
Brian McNamara: Good morning, thank you for taking my question. I wanted to get your thoughts on the significant volatility in your share price on earnings results, specifically in recent quarters. What do you think is driving these big surprises? And with your shares very weak today with, I think, 2 million shares up on your authorization, do you believe this is a good time to be aggressively buying back stock given your view that the current challenges are temporary? Thank you.
Dani Reiss: Thank you for your question. I think I believe firmly that is our job to build a long-term and strong, enduring business that will last for decades and generations to come, and I firmly believe that we're doing that. And that's not measured in quarters, that's measured in years and in generations. And so when I look at what we've accomplished year-after-year over the past many years, I'm very proud of what we've been able to accomplish. And I think that over time, all the right numbers will be in all the right places. And yes, I'll hand it over to Jonathan to talk to some technical details.
Jonathan Sinclair: Yes, when it comes to the NCIB, you rightly note that there is capacity left in the NCIB. As you also know, we privilege investment in the business with our free cash flow because that ultimately, we believe, is the best use of funds to generate return to shareholders. That said, at times when we believe that the – there is an attractive share price in the market, it's also an option for us to consider working with our NCIB.
Operator: Thank you. Our next question comes from Camilo Lyon from BTIG. Your line is open.
Camilo Lyon: Thanks. Good morning. Just a follow-up on China in the store's performance. So if I remember hearing correctly, China was up 35% but your stores doubled year-over-year. So it looks like comp stores were down pretty meaningfully. Jonathan, can you parse out the performance of those new stores versus your existing stores? And is the commentary that you're starting to see a pickup in performance and productivity in the current quarter is reflective of the entire store base or existing stores or new stores. Thank you.
Jonathan Sinclair: So inevitably, at this level of space expansion, you're going to conclude that there are declines in the comp store base in China. And that's certainly what we're seeing. But that said, we are also seeing good growth in our – with the Chinese consumer. So I don't think you can just look at it in terms of the stores because you also have what’s going on online. And when the online is up 60% and the stores are obviously below that. But I do think that we are seeing very encouraging – we’re seeing very encouraging trends. The new stores that we've been opening around Mainland China have all been hitting their numbers. We've been very pleased with how that's developing. And frankly, the disruptions that we're seeing at the moment are pretty much driven by the environmental and extraneous factors that we've been describing.
Operator: Thank you. Our next question comes from Jay Sole from UBS. Your line is open.
Jay Sole: Great, thank you for taking my question. My question is on social media activity in China. It seems like the company's social media activity decreased in December like platforms like Weibo and WeChat. Can you just talk about why that is? And maybe just stop right there, that's the question.
Dani Reiss: Thanks for your question, Jay. We run our marketing operations in China, out of China, who's on the ground in our office in Shanghai. And that is how we speak directly to our China consumer base. I think that our social media presence is strong and has really helped drive our brand awareness, our revenue over the year, over the past few years that we've been in China. As you know, we're on Tmall, we’re on JD.com, we’re on WeChat, we’re on Weibo as well. And across all of those platforms, we've been able to cultivate a very strong base camp community in our Chinese marketplace.
Operator: Thank you. And our next question comes from Robby Ohmes from Bank of America. Your line is open.
Robby Ohmes: Hey, good morning and thanks for taking my question. I wanted to ask a little more on the U.S. I don't know, Dani or Jonathan, can you remind us what percent if you go back to fiscal 2020 or calendar 2019, can you remind us what percent was tourist driven. And because I think it was very high, right. I think – and so it would imply that your – the core U.S. customer has grown a lot, I think since 2019 or fiscal 2020? Any kind of numbers you can give us on sort of the growth in sort of the U.S. customer versus two years ago? And has the profile changed? Or is it more stores driving that? But it does look like – and tell me if I'm getting the math wrong, but it does look like it's been pretty impressive growth in U.S. customers versus two years ago.
Dani Reiss: Yes, there's no question that our business over in the United States has been very strong, very robust and certainly due to an absence of international tourist traffic, that's driven by local population. So we're very pleased with our – obviously, the growth of our equity, our brand awareness and popularity that can be used in the United States. And I think that looking towards the future and the return of international tourism, both to all parts of the world, to North America and to EMEA as well. I think that only bodes extremely well for our growth and for store productivity across all regions.
Jonathan Sinclair: I think what I'd add to that is we've always said that in normal times, and you're talking about baseline that was normal times. We're a 50/50 business between tourism and domestic demand. And that was certainly the case in the U.S. alongside other markets. I think that if you look at the U.S., even SoHo now is pretty much doing the same numbers it was pre-pandemic that's really important to say that’s a benchmark. We're also – as you're thinking about the product offer, we are obviously developing our lifestyle offer with the non-heavy breakdown complementary have been breakdown. And that's enabling us to develop the business across the U.S., not just in the cold weather parts. Hence, the opening in Southwest Plaza, as I said, we get great performance there and in other locations, too. So we're seeing not just great performance but make momentum and great price.
Operator: Thank you. And that does conclude our question-and-answer session for today's conference. I'd now like to turn the call back over to Dani Reiss for any closing remarks.
Dani Reiss: Thank you. Before we say goodbye for today, I'd like to leave you with one final comment, and that is our foundation is strong and our ability to navigate temporary disruptions is absolutely proven. And as Jonathan noted earlier, our optimism for fiscal 2023 has not changed. We are confident in our business and our growth potential even without a full retail traffic recovery globally. I look forward to speaking to you all again next quarter, and thank you, everyone, once again for joining us here today.
Operator: Thank you. This concludes today's conference call. Thank you for your participation and you may now disconnect. Everyone, have a wonderful day.